Operator: Thank you for standing by. My name is Gail, and I will be your conference operator today. At this time, I would like to welcome everyone to the Farmland Partners Inc. Q4 and fiscal year 2024 earnings call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question and answer session. If you would like to ask a question during this time, simply press star followed by the number one on your telephone keypad. If you would like to withdraw your question, kindly press star one again. I will now turn the call over back to Luca Fabbri, President and CEO of Farmland Partners. Please go ahead.
Luca Fabbri: Thank you, Gail. Good morning, everybody, and welcome to Farmland Partners' full year 2024 earnings conference call and webcast. We truly appreciate you taking the time to join us for this call because we see them as a very important opportunity to share with you our thinking and our strategy in a format somewhat less formal and more interactive than public filings of press releases. I will now turn over the call to our General Counsel, Christine Garrison, for some customary preliminary remarks. Christine?
Christine Garrison: Thank you, Luca, and thank you to everyone on the call. The press release announcing our fourth quarter earnings was distributed after market closed yesterday. The supplemental package has been posted to the Investor Relations section of our website under the subheader events and presentations. For those who listen to the recording of this presentation, we remind you that the remarks made herein are as of today, February 20th, 2025, and will not be updated subsequent to this call. During this call, we will make forward-looking statements, including statements related to the future performance of our portfolio, identified and potential acquisitions and dispositions, impact of acquisitions, dispositions, and financing activities, business development opportunities, as well as comments on our outlook for our business, rents, and the broader agricultural markets. We will also discuss certain non-GAAP financial measures, including net operating income, FFO, adjusted FFO, EBITDAre, and adjusted EBITDAre. Definitions of these non-GAAP measures as well as reconciliations to the most comparable GAAP measures are included in the company's press release announcing full year 2024 earnings, which is available on our website farmlandpartners.com and is furnished as an exhibit to our current report on form 8-K dated February 19th, 2025. Listeners are cautioned that these statements are subject to certain risks and uncertainties, many of which are difficult to predict and generally beyond our control. These risks and uncertainties can cause actual results to differ materially from our current expectations, and we advise listeners to review the risk factors discussed in our press release distributed yesterday in documents we have filed with or furnished to the SEC. I would now like to turn the call over to our Executive Chairman, Paul Pittman. Paul?
Paul Pittman: Thank you, Christine. So my comments this morning will be a little bit shorter than normal. Let the rest of the team go through the details of the success of the year. But I want to hit a couple of high points. We have said for a long time that owning farmland is fundamentally a total return story. I think the last twelve months truly proved that to our shareholders. We did a substantial amount of asset sales at very high gains. We distributed basically all of that cash to our shareholders in the form of a $1.15 special dividend early in January. And if you recall, we did a similar but somewhat smaller distribution a year earlier also based on asset sales, at very good prices. Farmland is a function of current yield plus appreciation. The public markets for most of our life have frankly ignored the second element. It is the bigger return element of the asset class. We've always said it's there. Now, two years in a row, we've delivered on that. You know, we also have focused very, very hard on driving revenue higher and therefore AFFO higher. That's all about increasing rents through time, and getting very good pricing in our specialty crops at least for the most recent year. The other thing we focused on is reducing cost. All of that has delivered to shareholders a substantial increase in stock price particularly in the context of having handed out a $1.15 this year. Which is fundamentally should make your stock kinda go down when you think about the distribution of the underlying assets of the company. We've delevered substantially and bought back quite a bit of stock. And all of these things together have delivered very substantially for all shareholders including myself, of which we should all be quite happy. With that, I'll turn it over to Luca and the rest of the team. To make some more comments, and I'll see you all in the Q&A.
Luca Fabbri: Thank you, Paul. I just want to highlight a couple of points that Paul already alluded to. You know, this 2024 has been a very, very strong year for the company. And if I had to point, I'd space on very specific elements that drove this performance, one would certainly be the fact that, now for several years, we've had very, very strong performance in our branch renewal. And that is showing up in the numbers for our base rent revenue. This year, we also had a very strong performance of some of our specialty crop farms, delivering very good returns in terms of valuable rents as well as direct operation revenue. So that all contributed to the strong performance including also some structural cost reductions that we were able to perform this year. Looking more broadly at what we've done this year, we've done significant asset sales as you are all aware, and we were able to not only, as Paul mentioned, deliver some of that gain to our shareholders in form of a special dividend, but we also created some liquidity that allowed us to reduce our indebtedness and also do some stock buybacks. That has resulted also in a much reduced interest expense in conjunction with the reduced interest rates that we all saw. If I look forward at 2025, you will see that we are putting out a guidance for the year in terms of AFFO per share of between $0.25 and $0.30. That is above our current dividend rate of $0.24. As you're all aware, dividends are decided by the board on a quarter-to-quarter basis. For the time being, we are staying on course with the $0.24 per share. But the board will, of course, as the year progresses, evaluate a different approach on dividend. But, again, that will be on a quarter-by-quarter basis, a decision made by the whole board. With that, I will turn the call over to Susan Landy, our Chief Financial Officer, for her overview of the company's financial performance. Susan?
Susan Landy: Thank you, Luca. I'm going to cover a few items today, including a summary of the full year for 2024, review of capital structure, a comparison of full year revenue, and guidance for 2025. I'll be referring to the supplemental package which is available in the investor relations section of our website under the subheader Events and Presentations. First, I will share a few financial metrics that appear on page two. For the full year ended December 31st, 2024, net income was $61.5 million or $1.19 per share available to common stockholders, which is higher than the same period for 2023 largely due to the impact of dispositions that occurred in the fourth quarter of 2024, the significant debt reductions, which resulted in interest savings, and the impact of several years of strong lease renewals. AFFO was $14.1 million or $0.29 per weighted average share which was significantly higher than the same period for 2023. AFFO was positively impacted by lower property taxes, lower interest expense as a result of the debt reductions, increased volume of avocado and citrus sales on our directly operated properties, and increased variable farm rents. Next, we will review some of the operating expenses and other items shown on page five. Gain on disposition of assets was higher due to dispositions of 54 properties in 2024, with an aggregate gain on sale of $54.1 million compared to dispositions of 74 properties in 2023 with an aggregate gain on sale of $36.1 million. As a result of these meaningful dispositions, we were able to lower interest expense by reducing our outstanding debt by $158.5 million, net of borrowings. In addition, the dispositions lowered both property operating expenses and depreciation expense. General and administrative expenses increased due to a one-time severance expense of $1.4 million and a special bonus of $2.1 million to executive officers during the year ended December 31st, 2024, partially offset by lower compensation and travel expense throughout the year. The severance expense was incurred in connection with the previously announced departure of the company's former CFO and Treasurer, part of the company's cost-cutting initiative. Next, moving on to page twelve, there are a few capital structure items to point out. We had undrawn capacity on the lines of approximately $167 million at the end of the year. We have no debt that is subject to interest rate resets during 2025. Page fourteen breaks down the different revenue categories with comments at the bottom that describe the differences between the periods. A few points that I'd like to highlight are, as expected, fixed farm rent did decrease and that's because of the dispositions in 2023. The decrease was partially offset by several years of strong lease renewal rates. Note that the company negotiated to retain the full year of 2024 rent for the property sold in October of 2024. Management fees and interest income increased primarily due to the increase in loan issuances in 2024 under the FPI loan program. Direct operations is the combination of crop sales, crop insurance, and cost of goods sold. It was up relative to 2023 largely due to an increase in sales of citrus, avocado, and walnuts as well as lower impairment and cost of sales. Page fifteen is our outlook for 2025. The assumptions are listed at the bottom of the page. On the revenue side, fixed farm, solar, wind, and recreation rent reflects the full year impact of 2024. Management fees and interest income is higher due to the increased activity in the FPI loan program. Variable payments decreased due to the outlook for citrus and row crops, plus the absence of grape farms sold. The change in direct ops again, that's crop sales, crop insurance minus cost of goods sold, is primarily due to increased costs associated with maintenance and water. On the expense side, property operating expenses decreased as a result of savings on the sales during the year. G&A decreased due to events such as the one-time $1.4 million severance expense and the $2.1 million special bonus. Interest expense declined primarily due to realizing a full year impact of debt reductions that occurred in Q4 of 2024. And the weighted average shares also decreased with the full year impact of the 2024 share buybacks. The forecasted range of AFFO is $12.1 million to $14.7 million or $0.25 to $0.30 per share. This summarizes where we stand today, and we will keep you updated as we progress through the year. This wraps up our comments this morning. Thank you all for participating. Operator, you can now begin the Q&A session.
Operator: Thank you so much. At this time, I would like to remind everyone in order to ask a question, press star then the number one on your telephone keypad. Your first question comes from the line of Rob Stevenson with Janney Montgomery Scott. Please go ahead.
Rob Stevenson: Good morning, guys. Just to love to get your thoughts right now on where the pricing environment is, relative to where you need it to be to do net acquisitions in 2025. And if there's any sort of areas of the country or crop types that you want to be in longer term that are making sense to do deals today versus the ones that are just far too pricey.
Paul Pittman: Yeah. Let me take that, Luca may have additional comments. Hi, Rob. So if you looked at our portfolio overall today, it is extremely focused on the state of Illinois, and a little bit more broadly Indiana and Missouri. A small set of holdings is still in Eastern Colorado. And then basically, California. So Illinois is incredibly strong. We've talked about this in the past. We've kinda reached a plateau stage in terms of valuations in Illinois. Meaning, the market's not driving higher, not every single sale is a new record. But the prices, particularly for good properties, remain very strong. We would continue to buy in Illinois if the valuations make sense. As we all know, it's a relatively low current yield environment. But a very, very high appreciation environment. When you think about the portfolio for all investors, when you think about the portfolio today, recognize that the gains we achieved on the sale of the portfolio at the end of last year, we sold essentially the southeast United States, most of Nebraska, and most of our Delta. You know, Arkansas, Louisiana, Mississippi properties. Those were very high gains. But that's not the best assets with the most embedded value gain that we own. The best assets with the most embedded value gain since we bought them is really our Illinois properties where we own a protein forty thousand. Turning to Colorado. Colorado is, you know, frankly, a little bit, you know, it's like Goldilocks, not too hot, not too cold. We are long term not particularly excited about that region. Because of water limitations and their likelihood that the water limitations just get to be more extensive through time. I think we will likely gradually exit the High Plains region. If we were going to buy more in any of the regions where we sold a lot of properties last November, the place we would go back into is the Delta. Super high-quality farms, in particular northeast Louisiana and Southeast Arkansas. Are very attractive. They have many of the characteristics of the Midwest. With a slightly higher current yield. Now turning to California. You know, California remains an area of concern. We've talked about this in the last, you know, probably three or four at least, if not, you know, a couple years worth of conference calls. You know, California has a variety of challenges. Water being probably the first and biggest challenge, the second being over planting of many of those crops around the world. And the third being sort of labor challenges as it labor and regulatory challenges particularly in the state of California. What that has done is that's put a lot of pressure on asset values in that region. You know, we think in many cases, institutional investors are very scared of that region right now. There are people exiting that region. So that's a place in our portfolio where, you know, we're we continue to monitor it. We're not gonna be, you know, we're long term value players. I don't get excited about, you know, whether the value's up or down in the last ninety days. That's not time I read an article like that, I kinda recognize it's written by somebody that doesn't understand the asset class. Nothing moves on a ninety-day cycle in this asset class. So we're gonna kinda monitor it, watch it if we did approach to at a fair price on something we own will likely lighten our exposure to California. We're very unlikely to buy additional assets in California right now. But it would likely would lighten up there. Hope that, Rob, kinda answers your question.
Rob Stevenson: Yeah. That's very helpful. And I guess the other question regarding deployment of capital is how are you thinking about you guys bought the Ohio Deere dealerships. How are you guys thinking about that business and, you know, it's hitting whatever return thresholds that you were looking for and coverage, etcetera, and whether or not you would expand and do more of those either in Ohio and or other states or something of that sort of bent going forward to deploy capital.
Paul Pittman: Yes. So a couple of thoughts on that. And I've talked to many individual investors, particularly our largest ones about this. And some of them, frankly, love the idea of doing more of that, and some of them hate the idea. So here's the kinda intellectual challenge when you think about it. One of the problems we face as a company is not enough current income in any given year. Those assets are solid six percent current yield sorts of assets, maybe even six and a half. In some cases, they're great current yield tools for us. And we believe, particularly, I believe, that the long-term appreciation of a John Deere dealership footprint, you know, we don't own the dealership. We own the land underneath in the buildings. As long as you pay fair value going in, and fair value is, you know, about appraised value, in this case really not just cap rate, on the lease payment. So as you pay the fair price for that, my view is that asset is likely to appreciate more or less with farmland or even higher than farmland. Many of these dealerships are located, you know, at important highway intersections or things like that. There's no reason to think they won't go up as land values go up. You know, the base value of the underlying asset won't go up as land values in the ag parts of the United States go up. So that would be the, you know, that's the argument to do more of that. We don't have very much exposure to that in the overall portfolio sense today. The counterargument, which is also sensible, it's not the argument I in, but it's a sensible argument, is that look, you know, stick to your knitting. At some level, that John Deere dealership is really just a triple net industrial lease. Don't, you know, don't confuse it with farmland. You know, stay away from it. Both of those things are true. To answer your question, Rob, is you know, I think we might do a few more of those. I don't think you'll see us get into it super aggressively. Because, you know, if I was having this conversation with the board and the rest of management, you would have, you know, people in amongst that group of, you know, six or seven people with both points of view that I expressed. So I guess is we'll we may do a few more of those if they're particularly attractive, but don't expect us to do a lot.
Rob Stevenson: Okay. That's helpful. And then one last one for me for Susan. What is your incremental borrowing rate today? You know, if you had if you needed twenty million dollars of debt, you know, what would that cost you today, and how would you sort of get that? Where's the best sort of pricing and availability to you today? On the debt side?
Luca Fabbri: Well, let me chime in while Susan here kinda pulls up the correct number. You have to look at it in two different ways because we have liquidity that is immediately available to us under lines of credit. And that's a short-term kinda spread over SOFR kind of rate. But we can also if we are to structurally increase our debt again, we would actually use more traditional kinda loan agreements on three-plus year terms that will come with different interest rates and different interest rate exposure risks. Having said that, Susan?
Susan Landy: Yeah. We're right around six percent right now for the incremental borrowing rate.
Rob Stevenson: Okay. That's very helpful. Thanks, guys. Appreciate the time this morning.
Paul Pittman: Rob, I just want to connect I'm not in the same room with Susan at the moment. I want to just connect what Luca said and Susan said to your question for a second. So if you wanted to go borrow really quickly, it's right around that six percent rate. If we turned it out, I think we would beat that rate much.
Rob Stevenson: Okay. That's helpful, guys. Appreciate it.
Operator: Again, I would like to remind everyone that if you would like to ask a question, press star one on your telephone keypad. Thank you. Your next question comes from the line of Buck Horne with Raymond James. Please go ahead.
Buck Horne: Hey, guys. Good morning. Congrats on the great quarter and all the progress last year. The asset sales. Great job. Curious if you could just share maybe a few high-level thoughts on some of the headlines and articles that are out there about, you know, the freezing of funding that seems to be going around for the various USDA programs that a lot of farmers had been exposed to and some sort of cost-sharing agreements and wondering if that, you know, if there are any particular tenants or farmers in your portfolio that are exposed to any sort of funding freezes? Or how do you think that plays out over the course of the year?
Paul Pittman: Yeah. So, Buck, thank you. Thank you for your kind words and, you know, here's kinda my perspective on that. So when you look at the USDA budget, you gotta think about it in two relatively large separate buckets. The first bucket is SNAP. That's basically food stamps, aid to low-income people and food purchasing. That is a huge percentage of the budget. I don't have off the top of my head what it is. But it's, you know, it's a large, large, large percentage of the overall USDA budget. I think there is a sense in Washington DC that the Trump administration that there needs to be a little bit less of that. Not nobody wants to be screwed, I don't think. But they think there is some waste, fraud, abuse, you know, in that program. And I'm pretty sure there is. They also think one of the you remember back to the Clinton administration, I'm older than most of you on the call, you know, Bill Clinton got very focused on the fact that providing a boot camp program forever disincentivizes these human beings to go out and create, you know, a successful and fulfilling life for themselves, and so maybe we need some program changes that make it a short-term safety net, not a forever safety net. And I think those things are coming back around. The second bucket of the farm program is, you know, things that are delivered to farmers, and there's a lot of different pieces of that. You know, there's direct payments, there's ad hoc disaster payments, and there's crop insurance. At least to my way of thinking, the most important piece of that is crop insurance. That is a very good program. It is a good program for farmers, but it is a good program for all US citizens. And the reason for that is that program really cements food security. We are such a productive country in terms of food production, that one bad year does not cause a problem in terms of food supply. Causes a little bit increase in pricing, nobody's gonna go hungry. Where we would have a problem is the United States is if we had two bad years in a row, and what crop insurance does is it lets that farmer who had a really bad year go back and plant again the next year, therefore, making sure we don't have two bad years in a row. And so that program is very, very good. Again, you know, direct payments and ad hoc emergency payments in particular and to some degree crop insurance, there is, you know, waste, fraud, and abuse there. I'm sure that the current USDA team is gonna focus on getting rid of that. I mean, I get everybody in Washington focused on that or they should be. We as a company, you know, partly because I was a real farmer for a long time, we just stay away from tenants who we think are abusing the system at all. We don't want anything to do with the tenant who's doing what they call insurance farming. So we don't have any of those tenants. So we just, you know, and we also know, we're very, very focused on making sure we got farmers which have sort of sensible economic results without regard to government payment on their files. So, you know, I don't think anything was done in that area hurts us in any kind of meaningful way. In fact, it might, you know, people like us who have relatively speaking higher quality land in the higher highest quality farming. Long-winded answer, but I hope it helps.
Buck Horne: No. That definitely helps, and I appreciate the thoughts. I just want to also I kinda want to clarify. Maybe I wasn't clear in the question because I was, you know, the intent, I think, was more thinking through these inflation reduction act CapEx projects that a lot of farmers had undertaken, you know, putting in a lot of money to, you know, whether it's, you know, doing environmental upgrades or fencing or some, you know, some other money that they were putting upfront that they were gonna do a cost-sharing arrangement with the government on just wondering if any of your portfolio farms had, you know, taken advantage of that program or spent a lot of CapEx money or, you know, at some sort of financial risk due to, you know, funding being cut back?
Paul Pittman: No. No. So the quick answer is no. I mean, we as a company do not, you know, in incredibly rare circumstances would we ever directly pursue some sort of government program payment either by pushing a tenant to get it and share it with us or by getting it directly, although seldom eligible, from the kind of direct pay. So we just don't want to play in that space. We just really don't. Now, I mean, to be fair, if you had massive reduction in cash flow coming from the USDA to the agriculture community, that has a negative impact on a large landowner like us. Because you're just less capital in that. But, I mean, the impact on us is very, very unique for the reasons I just explained. As to the specifics, you know, again, I don't know exactly what the new tradition USDA will do, but my sense is that anything that's sort of a preexisting contractual obligation, a cost share on something, they're gonna fulfill the obligation, and that's just contract. I think it's going forward will those programs change is the more relevant question.
Buck Horne: Gotcha. Gotcha. Very helpful. I appreciate that. And just one quick last one is, if you could share, you know, kinda what your renewal lease terms in terms of your kinda asking rates on new renewals for this spring are going out at and, you know, kinda how you think that plays through for the year.
Paul Pittman: Sure. So on renewal rates, you know, if you look back over the last couple of years, the three-year average on renewal rates is up 12.4%. That is based on incredibly strong renewals in the last two years prior to the 2024 year. The 2024 year was essentially flat to slightly down. We had about a 0.8% negative rent renewal rate. Now recognize that number is really kinda weird this year because we had, you know, worked our way through renewing most of the rents on those properties we sold, then we, you know, those were very high-quality properties. We sold those properties, so they're not in that statistic, so it's kind of a, you know, it's kind of a sloppy statistic this year with that selling at 25-30% of the portfolio. But the big takeaway is really strong rental increases three years ago and two years ago, and sort of flattish this year. Because even if we'd have, you know, had all those properties we sold still in the statistic, you know, it might have been slightly positive, but it wasn't gonna be ten or twelve percent again. So we kind of like I said, I made the comment about plateau in land values. You got that kind of plateau in rents as well. Now for the coming year, I think we're gonna be back in a cycle where we can push rent increases again. If you pull up a soybean or corn chart, corn in particular, over the last six months, you've seen a relatively significant increase in corn price. Therefore, increasing profitability of farmers. And, you know, when you go out to have that rental discussion, it particularly in our portfolio, which is very row crop centric, you know, the happiness related to grain price makes that rent negotiation easier.
Buck Horne: Got it. Very helpful, guys. Congrats again on all the progress. Good job.
Operator: Your next question comes from the line of Darren Ravenu with DTR Partners. Please go ahead.
Darren Ravenu: Thank you for your comments today. Following up on you said that you think you can raise rents. How do you think of that in terms of income levels being, you know, hit so badly in the last year? I mean, do you think that's gonna be changing on a go-forward basis? And I'm asking that because so what can we think about dividends being paid through cash flow versus selling of assets or, you know, historically been able to, you know, access the credit markets, which, you know, with interest rates this high, I assume you're not gonna wanna do that. So where do you see farmers' income? You mentioned that you think farmers' income in corn is gonna go up. Is that more looking forward that income levels have bottomed out given where commodity prices are that and labor and etcetera?
Paul Pittman: Yeah. So, you know, recent data coming out of the USDA and other places actually suggest that farm income's kinda climbing back up. That's partly these large direct payments that were authorized at the end of last year, but it's also kinda increasing grain price. And that's, you know, that's kind of an, you know, depends what you're looking through. You know, you're looking through something, you know, wide-angle lens or through a narrow-angle lens. If you look at the narrow-angle lens, we're probably a little better than we were last year. But now let's look at the wide-angle lens because that's what's really important. This idea that farmers are on their last legs is just it's just so overdone. We are right now, in certainly the top ten economic return years ever for American farmers. You know, I read something recently that said, without government payments, it'd be the eighth best year ever and with government payments, it's the sixth best. So that is, you know, to be blunt. I don't care. I mean, I'm somebody who really understands these statistics. Our company understands these statistics. This is just blown totally out of proportion. Farmers are, you know, grain prices are going up. Profitability's going up, you'll be able to push rents up a little bit. Things are, I mean, prices are going down, profitability is going down. You're probably not gonna be able to push rents very far, which is a year we just kinda went through. And so this is why us, as a company, anytime times are good, grab those rent increases while you can. And then, you know, be a little more gentle in a year where you can't. And so that's kind of our approach. So, you know, we think we'll be able to continue to push our rents. You know, to give your context, long-term average rent increase, yeah, three or four percent a year. You know, you know, we see it ten or twelve percent a year. Don't think about that as ten or twelve percent forever in your model. Think about it as that's making up for the year of zero. And so, right, it's long-term average if you're modeling is, you know, kind of three or four percent. Or something like that.
Darren Ravenu: And are you seeing distress buyers coming in into California at all, which maybe signals a bottom of the market? Because, you know, the banks are giving away assets right now. I mean, is that what you're kinda looking for?
Luca Fabbri: The we see the California farmland market as still being fairly dislocated. There are a lot of, as you probably know very well, there are lots of properties on the market. There are probably willing buyers that are not that haven't stepped into the market yet. So there is a fundamental misalignment between supply and demand for farmland assets that will take probably a little longer to resolve. Unfortunately, the long-term uncertainty there regarding sigma and water availability and so on and so forth kinda remain top of mind for a lot of operators. However, you know, good performance, you know, for example, walnuts have performed better than expected. You know, almonds have performed pretty well in 2024. You know, we are expecting a little bit of picking up of interest. What we are seeing specifically more than from investors is from smaller operators that had a pretty decent 2024 and they are now looking to buy little parcels here and there. We so far, we haven't seen really any big investors swooping into the market to buy in large quantities, mostly because a lot of those investors are already present in California and therefore, they already feel they have quite a bit of exposure to the market.
Paul Pittman: But, you know, to your specific question, I think we're at or near the bottom right now. But it's, you know, you never can predict exactly where the bottom is.
Operator: Thank you. Your next question comes from the line of Craig Kucera with Lucid Capital Markets. Please go ahead.
Craig Kucera: Yeah. Good morning, guys. I'd like to talk a bit about the FPI loan program. You had a pretty sizable increase in your loans outstanding in the fourth quarter, and would just like to get your thoughts on where you see demand. Do you expect to see continued higher demand in that segment?
Paul Pittman: Yeah. I mean, it's partly demand, Craig, and it's partly focus on. As we have shrunk the portfolio, we've done a good job controlling cost. But, you know, we are a public company. So there is a floor to, you know, how much we can lower costs. You know, being public is expensive. In terms of a board, outside legal, filing fees, accounting, etcetera. And so we actively, as we got deep into the transaction we did last fall and where we sold such a large portion of the portfolio, we consciously said we've gotta reach out and increase the loan program. Obviously, not by taking on a ton of additional risk, we hope. But by, you know, making loans at high interest rates and with fees and things like that. In a way that helps us on our cash flow. With the, you know, with the sale of so many properties that was important. And so that's what we did. That's what you really see in the numbers. You know, again, we're an asset-based lender. What we do is we serve a role in the marketplace where, you know, farmers are often and people who own ag land are often very sort of cash poor but asset rich. Most lenders don't want to touch that. It's not because it's a bad loan, but it's because they are not in a position to own that asset if necessary. We, on the other hand, are in the business of owning agriculture assets. So as long as I and our team feel like we're very covered, in terms of collateral value, we'll make a loan. And that's, you know, that's what we do. We're not scared of taking the property if we have to. And so that's why we're able to kind of expand. There's just not many people that will take that asset value approach to lending. And, you know, and the reason we're, you know, when we take that approach, it's not that, you know, it's an obvious question. How do you get paid back if the guy's cash flow is terrible? Well, the reality is he's got lots of that. You know, that borrower will probably get lots of that. Assets. And what he's really doing is trying to buy a little time. You either sell the asset, you lend him money against or sell some other asset, clean up the family, business balance sheet. And that's the kind of role we play in the market. And as I said, long as we've got good position on the terms of loan to value, then it doesn't scare us at all, and we can generate, you know, very strong interest rates and fees related to those transactions.
Craig Kucera: Right. I know that that's always been a program you hope to grow more than it had in the past. Just one more for me. Has there been any increase maybe in inbound calls since the administration change and all the shakeup going on that we discussed in the call today?
Paul Pittman: Luca, you may be, you know, Luca runs the company on a day-to-day basis now. Luca, I don't know. It's the answer. You have a point of view, you should express it.
Luca Fabbri: Yeah. And we've seen a little bit of an uptick in inbound inquiries related to the loan program. I don't really think personally that it's related to the administration change. It's just more of a, you know, some marginal operators have felt a little squeezed in 2024, and that has increased the need for the type of product that we offer. Not sure what's gonna happen here in the coming months, especially given the fact that commodity prices have kinda bounced back quite a bit.
Craig Kucera: Okay. Great. Thanks for the color.
Luca Fabbri: Thanks, Craig.
Operator: Thank you, everyone. And that concludes our Q&A session for today. I will now turn the call over back to Luca Fabbri, President and CEO of Farmland Partners. Please go ahead.
Luca Fabbri: Thank you, Gail, and thank you everybody. We appreciate your interest in our company and look forward to updating you on our activities and results in the quarters. Have a great day.
Operator: Ladies and gentlemen, that concludes today's call. Thank you all for joining. You may now disconnect. Have a nice day, everyone.